Operator: Good day, ladies and gentlemen and welcome to Honeywell’s Fourth Quarter Earnings and 2019 Outlook Conference Call. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce you to your host for today’s conference, Mark Macaluso. Please go ahead, Vice President of Investor Relations.
Mark Macaluso: Thank you, Margaret. Good morning and welcome to Honeywell’s fourth quarter 2018 earnings and 2019 outlook call. With me here today are Chairman and CEO, Darius Adamczyk and Senior Vice President and Chief Financial Officer, Greg Lewis. This call and webcast, including any non-GAAP reconciliations are available on our website at www.honeywell.com/investor. Note that, elements of this presentation contain forward-looking statements that are based on our best view of the world and of our businesses as we see them today. Those elements can change and we ask that you interpret them in that light. We identify the principal risks and uncertainties that affect our performance and our annual report on Form 10-K and other SEC filings. For this call, references to adjusted earnings per share, adjusted free cash flow and free cash flow conversion and effective tax rate, exclude the impact from separation costs related to the two spin-offs of our Homes and Transportation Systems businesses as well as pension mark-to-market adjustment and U.S. tax legislation except where otherwise noted in 2018. With regards to 2019, references to adjusted free cash flow guidance and associated conversion on this call, exclude impacts from separation cost payments related to the spin-off. This morning, we will review our financial results for the fourth quarter and full year 2018, share our guidance for the first quarter of 2019 and discuss our full year outlook. As always, we will leave time for your questions on the end. With that, I will turn the call over to Chairman and CEO, Darius Adamczyk.
Darius Adamczyk: Thank you, Mark and good morning everyone. Let’s begin on Slide 2. We are extremely pleased with our results in 2018, made progress both from a portfolio and financial perspective, continued smart investments in our businesses and our people and took steps to position the company for next 20 years. This quarter, we successfully completed our second spin-off of the year, Resideo Technologies, launching our new stock exchange in October. We also continue to advance our software spread toward growing our core businesses in attractive end markets. And most importantly, consistent with what we have done all year, Honeywell delivered on its commitments to our shareowners. We met or exceeded our financial commitments on all metrics, delivering adjusted earnings per share of $1.91 in the fourth quarter, driven by 6% organic sales growth and 80 basis points of segment margin expansion. We continue to see strength in our long cycle businesses, most notably in commercial aerospace, defense and warehouse automation, where Intelligrated business is a global leader. Furthermore, we are aggressively planning and mitigating the impacts of the tariffs dispute in all of our businesses as evidenced by the strong margin expansion we generated this quarter. Based on what we know of today, we do not expect any material impact to our results in 2019 related to tariffs. For the full year, we achieved 100% free cash flow conversion and a 105% conversion in the fourth quarter. We generated over $6 billion of free cash flow for the year, excluding spin cost payments, up 22% even after spinning nearly 20% of the company in the fourth quarter. This was principally driven by profitable growth, higher net income and continued efforts to free up working capital, all the while funding smart growth investments through $800 million of CapEx. Our free cash flow as a percent of sales is the highest it’s been in at least 15 years and we expect to continue to grow from here. Importantly, our U.S. pension is funded over 105% and we do not expect any cash contributions in near-term. The financial health of this company heading into 2019 is as strong as it’s ever been and we still have ample resources to deploy. Lastly we continued a steady cadence of capital deployment of an additional $1.7 billion of Honeywell share repurchases in the quarter bringing the full year total to approximately $4 billion. As a result and now expect the fully diluted share count to be down at least 3% in 2019 based on our plan to reduce share count by at least 1% from 2018. As we continue return cash to our share owners through $2.3 billion in dividend following another double digit dividend increase in 2018. This was a particularly good year for Honeywell. We have a simpler, more focused portfolio after dispense and continue to execute on our initiatives as we look to the future. We see strength across several end markets and have significant balance sheet capacity to deploy. And while we are not planning for recession in 2019, we are taking steps now to ensure deliver on our commitment in an uncertain economic environment. Let’s turn to Slide 3 to review some of the progress from last year. As I mentioned we took significant steps through 2018 to transform the business. One of my key priorities from the outset was to accelerate organic growth. As we have seen by our results we are making good progress on this front. We were encouraged by the fact that nearly 60% of the portfolio grew just 5% or more organically for the full year of 2018 with several businesses growing about 10%. If the spin offs complete we now operate our more focused portfolio in our smaller number of attractive end markets. Portfolio optimization is central to and will continue to be part of Honeywell’s operating system. We plan to continue effectively deploying capital by funding high return CapEx and returning capital to shareholders through dividends and share repurchases. We have had nine consecutive double digit dividend increases since 2010 and still have a strong and flexible balance sheet the ability to deploy over $14 billion of cash to M&A, CapEx, dividends and share repurchases. The combination of strong sales growth, favorable end market exposure and significant balance sheet capacity positioned us well as we head into 2019. We are now on Slide 4, as I mentioned continuous transformation is part of Honeywell’s operating system. On this slide we highlighted three key transformation initiatives to establish Honeywell as a premier technology company for the future. Earlier in this year we established Honeywell Connected Enterprise or HCE which is a strengthened and centralized organization that will serve as the softer innovation engine for all of Honeywell. HCE operates with speed and agility of a startup working close to our businesses and our customers across the entire portfolio to build the world’s best software solutions rapidly and efficiently on the single platform. Our transformation to a premier technology company require us to look beyond just spin offs. Our Chief Supply Chain Officer, Torsten Pilz is leading Honeywell’s efforts to improve our supply chain and optimize our global footprint. We are seeing a lot of opportunity here to drive margin expansion and operational efficiency and you’ll hear much more about this from Torsten at annual investor conference in May. We are making similar enhancements on our capabilities internally with Honeywell’s digital initiative. This requires people, process, data and technology elements to come together which will allow for more effective and efficient decision making throughout Honeywell. This effort includes a continuation of our progress to centralized ERP systems. Thus far we have eliminated 35 unique systems in 2018 growing from 106 through 71 and we are path to just 10 ERP applications by the end of 2020. The result will be consistent processes and centralized data coverage of a common IT foundation. As you can see we have achieved a lot this year and continued to redefine the limits on what Honeywell can achieve to be the best positioned multi-industrial company for the future. Let’s turn to Slide 5 to briefly review progress against our key priorities. I laid out my key priorities for the company in 2017, since then we have continued to foster our culture win Honeywell of doing what we say, however, as we called the say do ratio. As you stack the results against our long-term commitments, you can see we are clearly making progress and in some instances achieving milestones sooner than we thought such as of our organic sales growth and free cash flow conversion. We are accomplishing these objectives while making smart investments for future through CapEx, restructuring and research and development. Our software businesses grew in the mid-teens range last year on a path to the 20% long-term compound annual growth rate we anticipate. We have taken steps to unify and strengthen our software strategy through the Honeywell Connected Enterprise and continue to invest in software development, sales and marketing capabilities and build-out of the Sentience platform. In 2018, Honeywell Ventures made 5 investments, including in Soft Robotics, a developer of automation solutions and soft robotic gripping systems that can grasp and manipulate items, the same dexterity of the human hand and in IoTium, a managed secured network infrastructure platform for an industrial Internet of Things that primarily serves building technologies and industrial customers. We also completed two bolt-on acquisitions totaling roughly $500 million. Ortloff Engineers is a privately held licensor and industry leading developer of specialized technologies to drive high returns in natural gas processing and sulphur recovery. This complements our existing UOP offering, which allows us to better meet customer needs for high recovery, non-gas liquid extraction plants growth. Transnorm, now part of safety and productivity solutions is a global leader in high-performance conveyor solutions that are used in diverse end-markets, such as parcel delivery, e-commerce fulfillment and airports. The acquisition strengthens Honeywell’s warehouse automation portfolio and positions the company to support the growing European e-commerce market, while broadening Honeywell’s connected distribution center and aftermarket offerings. I will stop there and turn the call over to Greg who will discuss our fourth quarter results and 2019 outlook in more detail.
Greg Lewis: Thanks, Darius and good morning everyone. Let me begin on Slide 6. As Darius mentioned, we finished 2018 very strong in every financial metric. Organic sales growth for the fourth quarter was 6%. We have been at or above 5% every quarter this year. This reflects our continued commitment to customer excellence, new product development as well as our realization of benefits from the investments we have made in our sales organization and new product development process. We generated approximately $2 billion of segment profit in the fourth quarter driven principally by higher sales volumes, with segment margin expansion of 80 basis points. The impact in the spin-offs of lower margin businesses, net of acquisitions contributed 30 basis points, while the core business generated 50 basis points expansion. Pricing and productivity was strong which enabled us to effectively mitigate the impact of material and labor inflation. We also saw continued benefits from previously funded restructuring. Adjusted EPS was $1.91, up 12% versus prior year excluding the spins, which exceeded the high-end of our guidance range by $0.01. The adjusted EPS figure, excludes both the impact of an approximate $435 million, favorable adjustment to the 4Q ‘17 tax charge and $104 million in spin related separation costs. At the outlook call in 2018, we estimated a separation cost for the two transactions would be in the range of $800 million to $1.2 billion. I am very pleased to report that the total separation cost for both spins came in lower than this estimate at $730 million, which demonstrates our ability to effectively execute complex transactions both ahead of schedule and below budget. We also recorded $300 million in repositioning charges in the quarter to fund future productivity and stranded cost reductions. Share buybacks totaled $4 billion in 2018 and drove a $0.06 benefit from lower share count in the quarter. You can find a bridge to the fourth quarter adjusted earnings per share in the appendix of this presentation. Finally, working capital improved 0.6 turns year-over-year. Our businesses are all focused on improving working capital and we continue to see progress on our initiatives with room to free up more cash for capital deployment. Now, on to Slide 7 and review our segment results. Our aerospace business continued to perform extremely well in a robust demand environment, capping off a strong year of near double-digit organic sales growth. In the fourth quarter, we generated 17% organic growth in defense and space, with double-digit growth in both the U.S. and international businesses led by global demand for sensors and guidance systems, original equipment shipment volumes and higher spares volumes on U.S. Department of Defense programs. We also saw growth in our space business driven by new satellite program wins and commercial helicopters driven by repair and overhaul demand. In commercial OE, sales were up 8% organically, with increased HTS engine demand for Gulfstream and Textron Longitude platforms and higher aviation ship set volumes driven primarily by the certification of the Gulfstream G600. Aftermarket growth was strong in all businesses, including defense driven by increased demand for avionics upgrades both software and hardware, navigation products and safety mandates. Our connected aircraft offering has continued to gain traction driven by GoDirect cabin tail capture on robust JetWave demand. Turning to Honeywell Building Technologies organic sales growth was 1% driven by continued demand for commercial fire products in North America, Europe and our high growth regions. Building Solutions projects growth was also strong particularly for international airports. The HBS projects backlog is up 15% setting up a strong 2019 as we continue to expand in the critical infrastructure markets like airports, cities and stadiums. These gains were offset by declines in our China air and water business and temporary supply chain challenges within our building management systems business. We expect the air and water business to recover in 2019 driven by new product introductions for the mid segment and stronger demand as inventory net levels normalize after a challenging 2018. In December the supply chain issues within building management systems began to stabilize and we expect continued improvement in the first half of 2019. HBT also benefited from one month of single digital organic sales growth from the former homes business driven by strength in both products and ADI global distribution. As a reminder the results for HBT exclude homes and distribution after October. In performance materials and technology sales were flat on an organic basis. Sales in UOP were up 2% driven by ongoing strength in licensing and engineering sales, but were offset by an expected decline gas processing which was driven by an extremely strong fourth quarter in 2017. Process solution sales were up 1% organically driven primarily by a strong demand in our software maintenance and migration services and steel devices. This was offset by declines in large project activity and in smart energy and thermal solutions both shorter cycle businesses due to supply chain challenges. Notably we continue to see solid trends within the automation businesses and process solutions with total orders up double digits and short cycle backlog up over 30% suggesting that oil price volatility in the fourth quarter may have temporarily delayed customer investment decisions. Advanced material sales were down 3% on an organic basis as continued strong demand and adoption of our solstice line of low global warming refrigerants which was up 5% was offset by declines in specialty products particularly in our electronic materials business which is in the semiconductor space as you know and tough comps associated to the fourth quarter of 2017. PMT segment margins expanded 200 basis points in the fourth quarter as expected driven by the timing of catalyst shipments within UOP, commercial excellence and the benefits from previously funded repositioning. Now turning to the safety and productivity solutions business that continued to perform at a high level with organic sales up 15%, driven by broad based strength across all lines of business, double-digit organic growth in Intelligrated continued as orders from major systems and robust backlog conversion fueled by e-commerce drove strong results. We also saw double digit growth in our sensing business and continued strength in our productivity products business driven by demand for android based mobility offerings and handheld printing devices. In total organic in our productivity solutions segment was up 23%. Moving to safety, the safety business sales grew 5% organically led by ongoing demand for gas products and strong growth in retail footwear associated with the holiday season. Finally, we continue to see strength in our business is across high growth regions. In China SPS grew double digits with robust growth across industrial safety, productivity products and SIoT. Excluding the ongoing softness in air and water, HBT also grew double digits in China, for all of Honeywell China was up 9% organically for the full year. In India our capabilities and strength provided exceptional growth in the fourth quarter greater than 25% over prior year. This was driven by our building and process solutions business. We continue to see positive macroeconomic trends in the Middle East which supported growth across all businesses with three segment growing double digits organically compared to the prior quarter. Now with 2018 in the rear-view mirror, let’s move to Slide 8 and discuss our 2019 outlook. We have a reliable play book in Honeywell and it’s not changing for 2019. Our focus on smart growth investments, break through initiatives and new product development coupled with productivity rigor and the benefits of funded repositioning has positioned us well for continued out performance. For 2019 we anticipate an organic sales growth range of 2% to 5%, the low end of which reflects the possibility of some economic slowing but not a recession in 2019. Segment margin expansion is expected to be 110 to 140 basis points or 30 to 60 basis points, excluding the impact of the spin-offs. This will drive earnings per share growth of 6% to 10% excluding dilution from the spins in 2018. We expect to generate adjusted free cash flow conversion near 100% consistent with 2018 driven by high-quality income growth and continued working capital improvements across the portfolio. We are confident in our businesses in the year ahead supported by positive long cycle orders and backlog trends exiting 2018. We have put forth a strong plan with multiple cost levers to pull in the event the recent volatility in the macro environment persists. As Darius mentioned in his opening, we don’t expect a significant impact in 2019 related to tariffs. We have worked very hard to mitigate that across the year for 2019, including addressing the potential impact of the still unannounced List 4, which contemplates 25% tariff on all remaining items imported from China. We will continue to monitor this throughout the year and react accordingly as we did in 2018. Some other items to take note of related to our 2019 plan. We are on track to slightly ahead of our plan to eliminate all stranded costs in 2019 related to the spin-offs with a little over half the costs removed to-date. We see the impact of these costs primarily in the net corporate cost line and in the segment margin in Honeywell Building Technologies. Also based on the planned reduction in pension income driven by discount rates and assumed asset returns as well as lower repositioning and other charges driven by the spin indemnity, our total net below the line charges are expected to be approximately $80 million in 2019. We will see continued benefits from planned and executed share repurchases. Our 2019 plan assumes a weighted average share count reduction of about 3% year-on-year or 730 million shares. This is based on the 2% share count reduction we executed from 2018 repurchases and at least 1% additional reduction in 2019. You will find additional details on our 2019 plan inputs in the appendix. Based on what we can see today, we expect to be at the upper end of our sales guidance range for organic growth. However, given the many uncertainties in the macro signals, we are planning cautiously in 2019 overall as its difficult to predict short cycle revenues, particularly in the second half of the year and remember that is still approximately 60% of our business. Let’s turn to Page 9, we have provided initial assessment of our end markets and anticipated organic growth rates in each for 2019. The green arrows are an indication that we expect market conditions to improve, while the gray flat arrows indicate that we expect market conditions to remain relatively similar to last year. Starting with aerospace, we expect organic sales to be up strong mid single-digits for the year. We continue to see a robust demand environment in both commercial aerospace and defense. And in transport, we expect continued growth in narrow-body production rates. We forecast new business jet deliveries to increase 8% to 10% in 2019 supported by several new aircraft models entering into service, a decline in young used aircraft inventories and stable used jet prices. Our long-term strategy of securing good positions on the right platforms and building our installed base will serve us well in 2019, particularly with new business jet platforms, where we are well positioned from an OE standpoint. Mid single-digit flight hours growth will continue to drive aftermarket demand and we expect further tailwinds from the ADS-B compliance mandate deadline, along with increased demand for connected aircraft solutions across all products. The industry dynamics in defense will be positive in the U.S. and internationally driven by budget growth, but we are planning conservatively for 2019 given the tough year-over-year comparisons following 2018’s banner year where we grew 15% organically in the business. With the favorable margin rate uplift from the former Transportation Systems spin, you should expect segment margins of approximately 24% for the aero business going forward. Now on to HBT, as a reminder, following the spin of our homes portfolio, HBT’s primary exposure is to non-residential construction. Here we anticipate low single-digit organic sales growth after a challenging 2018 driven by better execution in our operations, better selling strategies and sales coverage and new product introductions. We expect commercial fire will continue to be strong with the expansion of sales coverage and share gain and commercial security to improve with the expansion of our channel partner network. The declines we experienced in our China-based air and water business should subside through a combination of stronger market demand and new product introductions for the mid segment and mass mid segment. Globally, we see building management solutions growth in both hardware and software driven by high growth regions expansion and our investments in software. Honeywell building solutions growth will be driven by government investments in smart cities, social infrastructure and airport monetization and capacity enhancements, particularly in high growth regions. We also expect continued adoption of connected building solutions on a global basis. You should expect to see margins in the range of about 20.5% in HBT after the spin off of homes. For PMT sales were expected to be up low single-digits plus on an organic basis. In oil and gas petrochemical market growth should remain steady at about 4% driven by demand for packaging and plastics. However, given the volatility in oil prices in the second half of 2018, investments in global mega projects slowed and we see the oil price volatility potentially putting some pressure on upstream spending plans in 2019. Nevertheless, we anticipate similar market dynamics overall for 2018 and the basis for our plan is that oil prices remain in the low to mid-60 per barrel. The refining market should continue to be strong as global demand for cleaner transportation fuels remains. The U.S. natural gas market which is primarily served by our UOP Russell business is expected to improve in 2018. UOP is expected to deliver a strong year driven by its strong backlog, licensing and services growth and improved market demand in gas processing after a tough 2018. Process solutions will continue to grow across its short cycle businesses as we saw in 2018. This is supported by short cycle backlog which was up over 30% at the year end. Finally, within advanced materials we expect continued growth from solstice and our flooring products and better execution in specialty products. Lastly in SPS, sales were expected to be up in the mid single-digit range. We expect a strong ecommerce and warehouse distribution macro trends to continue as our customers seek and implement differentiated warehouse solutions to deal with rising demand. Our orders in Intelligrated in 2018 were up over 30% for the year. In the safety business, we anticipate growth to be driven by new product introductions within gas protection, growth in our core product lines and high risk personal protective equipment and new product launches in general safety. In productivity we expect strong growth driven by backlog conversion in Intelligrated and our sensing business, new mobility product introductions and expanded software offerings. We are also seeing growth in our life cycle service offerings and Intelligrated which includes maintenance, technical support and optimization services. That is combined with the aftermarket capabilities we acquired with Transnorm. Now let’s move on to Slide 10, here you can see the bridge of our 2018 adjusted earnings per share to 2019. The spin impact which we define as the after tax segment profit contribution from the spins in 2018, nine months of transportation systems and 10 months of homes, net of the estimated impact of the spin indemnity assuming that it was in place all year for 2018 will be a $0.62 headwinds earnings in 2019. As you can see the majority of our earnings improvement $0.30 to $0.60 per share will again come from operational gains in our businesses, driven by profitable growth, continued productivity improvements and incremental benefits from previously funded restructuring. You can see the remaining impacts from the share count below the line items and tax rate I have already touched on will contribute approximately $0.11 per share. Now let’s move to Slide 11 to discuss our first quarter guidance. For the first quarter we expect to generate 3% to 5% organic sales growth driven principally by healthy growth in our long cycle businesses with a more cautious tone towards short cycle given the market volatility exiting 2018. With that said we do anticipate that the commercial aftermarket our sensing business and productivity products and commercial fire products will continue to be strong on the short cycle side. We expect segment margins will expand 30 basis points to 60 basis points ex the spins, consistent with our long-term framework and 110 basis points to 140 basis points on a reported basis aided by 80 basis points of margin accretion from the absence of the two spends. Our expected adjusted earnings per share range of $1.80 to $1.85 represents growth of 6% to 9% expense. We have $0.25 of earning solutions and the spins in the first quarter of 2018. Our guide is based on an effective tax rate of 22% and weighted average share count of 737 million shares for the quarter. We feel this will be a very strong start to another successful year for Honeywell in 2019. With that I would like to turn the call back to the Darius who will wrap on Slide 12.
Darius Adamczyk: Thanks, Greg. We accomplished a lot in 2018 and expect great things in 2019 as well. We delivered on all our commitments, successfully completed spin offs ahead of schedule and under budget, while still overdriving on the organic growth, margin expansion, earnings per share and free cash flow targets that we have established at the end of 2017. There is significant room for continued margin expansion on the path to our long-term target of 23%. This is aided by over $450 million of repositioned fund in 2018 and in prior years which will drive improvements to our cost structure, supply chain and gross margin in 2019 and beyond. Our balance sheet capacity is strong and this will provide another lever to drive outperformance in any macro environment. They are continuing their business transformation through several new initiatives, including Honeywell Digital, a unified software business in Honeywell Connected Enterprise and increased focus on our supply chain. We are excited about 2019 and expect another great year. With that, Mark, let’s move on to Q&A.
Mark Macaluso: Thanks, Darius. Darius and Greg are now available to answer your questions, if possible please keep your questions to one comment and a quick follow-up, so we can address all questions. Marguerite, if you could please open up the line for Q&A.
Operator: Thank you. [Operator Instructions] We can now take our first question from Peter Arment from Baird. Please go ahead.
Peter Arment: Yes, thanks. Good morning, Darius and Greg.
Greg Lewis: Good morning.
Peter Arment: Nice way to finish up 2018. Darius, I guess on aerospace, just really the momentum continues to be really impressive with organic growth of 10% in each of the past two quarters. Maybe you can talk about I guess the sustainability of the confidence around the biz jet volume for you. I know you mentioned 8% to 10% for this year. And on the 2019 aerospace guidance of mid single-digit plus, is the defense tough comp really the only headwind you are seeing in 2019, maybe just some color there? Thanks.
Darius Adamczyk: Yes. I mean, so first of all, we are very confident about our aero outlook for 2019. Our bookings have been strong, January has been strong. Yes, the comps do get tougher and there is still some short cycle. And I think as people saw in our outlook for Q1 and what I anticipate will be Q2, we have every bit of confidence that mid single-digit is hopefully the bottom, but the fact is we don’t know the second half of the year and that’s why the numbers are what they are and potential government shutdowns and budgetary challenges and trade licenses potentially becoming an issue. We hope that doesn’t happen, that just reflects sort of external risk. But overall, there is absolutely nothing that I am concerned about in terms of the bookings to growth rates to kind of growth we are seeing in that business and it’s pervasive across all three segments, whether they are transport, bga or defense and space. So I am very pleased and it’s not a place where I am going to be losing a lot of sleep in 2019.
Peter Arment: Appreciate the color. Thanks. I will leave it to one.
Darius Adamczyk: Thanks.
Greg Lewis: Thanks Peter.
Operator: We can now take our next question from Sheila Kahyaoglu from Jefferies. Please go ahead.
Sheila Kahyaoglu: Thank you and good morning.
Darius Adamczyk: Good morning, Sheila.
Greg Lewis: Good morning, Sheila.
Sheila Kahyaoglu: Across your four businesses you either have a deceleration in organic growth or flattening of sales growth, just where are you factoring in some conservatism with a slowdown and how are you capturing that low end of the sales growth guidance of 2%?
Darius Adamczyk: Yes. I think it’s not so much that I am – we are capturing any conservatism in any of the businesses. I think what we have in our guidance going forward is the fact that more than 50% of our business is short cycle. And what’s different about this year than I think many years in the past is we have many more unknowns, whether it’s Brexit, whether it’s trade negotiations, specific China U.S. whether it’s Fed hikes in terms of what happens, whether it’s government shutdowns or just a lot of geopolitical unknowns more than usual. And for us, to express a level of confidence around all these unknowns around a little bit wider range than we anticipated, I think would probably indicate a level of knowledge that we currently don’t have. Now having said that and as you can see in our Q1 outlook, we are actually front-end loaded. And if anything, we are going to be at the upper half of our revenue growth range in the first half of the year. So actually, we provided that all things go as we think they will to deposit side, I think that hopefully we will be raising the bottom of that range as we move further through the year. But there is I don’t see really any growth issues of any of our businesses and we expect all of them to grow in 2019.
Sheila Kahyaoglu: Thank you for the color.
Operator: We can now take our next question from John Inch from Gordon Haskett. Please go ahead.
John Inch: Thank you. Good morning everybody.
Darius Adamczyk: Good morning John.
Greg Lewis: Good morning John.
John Inch: Good morning guys. So how did your European businesses do and what’s actually baked I guess on the growth rate any color there and what’s baked into your guidance for 2019 for Europe?
Greg Lewis: Yes. John, Europe continued to be strong. In the fourth quarter, our European businesses were up 6% which capped off of 4% organic growth for the year. So I still think we are seeing good strong growth there and it’s a pretty broad based, to be honest SPS probably the strongest of the bunch, but each of the businesses is growing in the mid single-digits or higher in Europe at this stage. And as we look forward we expect that’s probably going to be still low mid single-digits – low to mid single-digits. But as Darius mentioned clearly they are concerns out there, I mean Brexit in particular will have some sort of an answer in the next 60 days is what occurs with that and we have got a meaningful size business in the UK. So definitely back to the concern aspects of macro signals, Europe is an area where we are waiting to see what’s going to happen with Brexit in particular and what impacts that may have on us.
John Inch: But Greg, that performance, the 6% that’s pretty good relative to what other companies have been putting up in Europe and given sort of the slowing in Germany itself, is there a mix issue that’s benefiting Honeywell or new products or what do you think is attributable to why you are doing…?
Greg Lewis: Well, again I would tell you that each of the businesses is performing well. So it’s not like one is I mean SPS being the strongest of the bunch, but each of them is up mid single-digits for the year. So it’s the strength across our entire portfolio.
John Inch: And then as a follow-up last year you guys put up 3% to 5% core growth target and Darius you flagged accelerating core growth as your number one priority, now I understand the economics and sensitivity is around the 2 to 5 this year, but I am just trying to think big picture what are you and how are you actually going to tackle driving Honeywell towards more of a mid single-digit type of accelerating core growth over time, is that meaning to go after like in Darius that pie, the 40% that’s not growing at 5% plus or do you kick start building technologies which has been sort of a problem for a little while or more M&A I mean what maybe just walk us through a little bit of your own thoughts and maybe horizon too?
Darius Adamczyk: Yes. John, it’s any one thing, it’s probably all of those, I mean it starts with portfolio and we think that bases upon what we have done here. We have got more growth oriented and less cyclical portfolio that’s certainly part of it. Secondly, which is our tremendous focus on lastly product development and we are launching the whole new process called Z21 which basically is going to reduce our innovations cycle times in half, deploying more capital to R&D because my strong belief is that part of any growth story is got to be a strong innovation engine and that’s something that we are trying to create. Continued focus on high growth regions, I mean we are winning in places like China and India. And even though the back half of the year China was a little bit slower or we grew nearly double digit in China this year, so that continues to be our success story. Our focus on commercial excellence from our sales force is working where we are getting better productivity out of sales force, better performance. It’s never only one thing. We are working all those levers. And as you can see in the growth rate that we have demonstrated this is granted, the markets are pretty good, but certainly involve the self-help that we have administered over the last couple of years. There is now way we would be in that range both in 2018 and what we are projecting for 2019.
John Inch: Just lastly, India has been a real success story, I think you flied it again, would you consider putting more resources or doing M&A in India in particular and region wise it’s much smaller than China, but it does seem to have gained a lot of traction for Honeywell, I am just wondering I am thinking about it?
Darius Adamczyk: Yes. We have had a lot of focus on India. I mean to give you a perspective for India, our growth in India in Q4 was 27%, so that’s tremendous. We have a big footprint there not just from our business perspective, we have our engineering centers there over 10,000 people. So, we feel very comfortable of our presence there. The opportunities now to go after the mass mid-market segment and that’s actually one of our core initiatives for 2019 and beyond. It’s just not to play in the top tier, the mid tier, but actually having a greater level of participation in mid-market segment. So India is definitely one of the economies, which we think is going to be a great story for us in 2019 and beyond.
John Inch: Thanks very much.
Darius Adamczyk: Thanks, John.
Operator: We now take our next question from Gautam Khanna from Cowen & Company. Please go ahead.
Gautam Khanna: Thanks. Good morning and great results.
Darius Adamczyk: Thank you.
Greg Lewis: Good morning and thank you.
Gautam Khanna: Two questions. First, just big picture M&A pipeline, what can you say about it? Is it as healthy as it’s ever been or anything large that you guys are looking at, just any commentary on the nature of the pipeline right now?
Darius Adamczyk: Yes. I would say large probably not, because I think that we are still very much focused on bolt-ons and not the mega deals. So, I would say that is and will continue to be our focus. We got a deal done in Q4, which was good. Now, Transnorm was a deal of size, the kind of size we like, it was about $0.5 billion to capital to want to do that. But to be honest, on my commentary, that the pipeline continues to be good and we are working on the deal that recently fell through just because although there has been a little bit of a correction in the market as we saw particularly in December that didn’t really change expectations of lots of sellers. So we continue to struggle valuations and the expectations, which there is a very pronounced shift up and it’s got to work in our financial model. So we continue to be very active. The pipeline is good, but I also want to tell you that we are realistic, because we are cautious buyers and we don’t like to overpay. So we have to be certain about what we are buying and make sure that generates the right level of returns for our shareowners.
Gautam Khanna: Appreciate it. And second question was just if there are any supplier constraints you are seeing on the aerospace side, I remember last year you had some aftermarket constraints, are you seeing any pinch points emerge?
Darius Adamczyk: Yes, no. The answer to that is yes. And I would say, there are some pinch points on the supply chain emerging not just in aerospace, those are there and prevalent, particularly in areas like casting etcetera, but we see similar challenge in smart energy and even in some elements of electronic supply chain. So, the pinch points on the supply chain are real. They are there. We are working through those and hope to resolve those. Frankly speaking, our results could have been even better, had some of those pinch points not been there.
Gautam Khanna: Thanks a lot, guys.
Darius Adamczyk: Sure.
Operator: We can now take our next question from Julian Mitchell from Barclays. Please go ahead.
Julian Mitchell: Hi, good morning.
Darius Adamczyk: Good morning.
Julian Mitchell: Good morning. Maybe just a first question around SPS, you grew around 10% plus organically in 2018. Your Slide 9 shows about mid single-digit growth this year amidst to sort of accelerating market arrow. So, is that guidance based on anything you are seeing in the short cycle businesses within SPS or it’s simply about tough comps and the usual macro aspects that you had mentioned earlier?
Greg Lewis: Yes. Thanks, Julian. I think it’s a little bit of both. I mean, obviously, we continue to be very excited about Intelligrated and the double-digit growth rates that we achieved this year and with a very strong backlog expect that to continue to be strong. We did – our retail business though not large grew over 20% in 2018. So that’s probably going to dampen a bit with some of those comps. We still feel very positive about productivity products and sensing and IoT with the new product introductions that they have, but those and the industrial safety businesses, they are short cycle. And when those things change they can change quickly. And so I think that’s where we are trying to be a bit cautious, because we have seen it, we have seen it happen before in terms of the speed at which the short cycle can turn on us. And so it’s not a matter of having seen it so far and being concerned about anything with our business specifically, but I would just call it a bit more caution with the environment we are in.
Darius Adamczyk: Yes, just to add to that, Julian, like Greg said, I mean, majority of that business is actually short cycle. Intelligrated is about the only business that isn’t short cycle. So based on what we are seeing now and today and our guides for Q1, there is no warning signs for us here where we are positioned is just uncertainty, particularly on the second half of the year.
Julian Mitchell: Thanks. And then my second question around PMT, anymore color you would like to provide on how you see the cadence of the large project activity within HPS in terms of the scale of any delays? And also UOP, how you are gauging the volatility there at the moment?
Darius Adamczyk: Yes. No, I like the greater stability. What we saw in Q4 a little bit was a bit of a pause on the order rates just around the volatility of oil, but kind of given the right direction movement, we are much more bullish. But despite that, I just want to quote you a couple of numbers from Q4 and why I am bullish on PMT for this year. First of all, our HPS quarter rates were up double-digit. Second of all, our UOP backlog is up 8%. So I am very optimistic around PMT performance for 2019 probably the one segment that was pretty soft was in our advanced materials business, the electronics chemicals, which electronics has been a bit weaker, some of the other companies in that segment announcing and we saw that in our electronics chemicals business. So that’s probably the only sort of minus that we saw in Q4, but overall, book to backlog, the order rates were good. And to be honest, especially in HPS, our global mega projects log and quote are really strong we even book a lot of those orders in Q4. And our orders growth was up double-digit in the quarter. So, I feel pretty good about the PMT for 2019.
Julian Mitchell: Great. Thank you.
Greg Lewis: Thanks, Julian.
Darius Adamczyk: Thank you.
Operator: We can now take our next question from Steve Tusa from JPMorgan. Please go ahead.
Steve Tusa: Hey, guys. Thanks for fitting me in.
Greg Lewis: My pleasure.
Darius Adamczyk: Good morning.
Steve Tusa: Just wanted to ask about the not – we are not sensitive or anything like that. You mentioned kind of the next phase of the transformation and some of the footprint stuff that you are looking into. Is that something that you will be able to kind of quantify more and speak to at this year’s Investor day or is that going to remain – I don’t know what you put at the bottom of the slide like you are consulting with people or something like that about what the number is going to be? When we kind of hear more about that and how big could that opportunity be?
Darius Adamczyk: We are not putting you in the middle anymore on the call. You wind up grump, Steve. No, the – so, the short answer is yes on Investor Day, we are going to – it’s obviously going to be a segment of that presentation. We are going to give you a lot more detail, but I just want to be very clear that the next phase of the transformation is not just the ISC transformation. That’s a very big part of it, but we kind of talked a little bit about this deck about kind of the three legs of the stool, which are ISC transformation, Honeywell Digital and Honeywell Connected Enterprises, that’s sort of the next phase of the evolution of Honeywell. And one of those three is a business and the next two are going to be – are going for at least the next 3 to 4 years. So this is going to give us a lot more tailwinds in terms of margins, cash generation, more efficiency working capital, simplifications, better planning, lower capital intensity a lot of benefits. So we are going to provide a lot more color on that at our Investor Day.
Steve Tusa: Are you going to give something – are you going to give something tangible or will it be kind of like directional arrows? I mean, sometimes the stuff can, it sounds great, but ultimately, it doesn’t like filter down at the bottom line for other companies. Just curious if you are going to like give something tangible, numbers wise?
Greg Lewis: So Steve, I mean, oftentimes, we get asked about how long of a runway do we have for margin expansion. And to me, this is continuing to fill the portfolio of things that keeps that runway alive and well. And so that’s kind of the way I am thinking about all of these things are going to continue to contribute to our ability to drive that margin expansion well beyond 2019.
Steve Tusa: Okay.
Darius Adamczyk: Because as we kind of get deeper and deeper into the 20s which we are very comfortable that we are going to do and you look at our framework that we present in 2017, I talked about 30 to 50 basis point expansion as you see from our performance as well as our guide, and the top end of the range, it’s even greater than that number these are the kinds of things that enable us to kind of keep growing that margin machine is self-help and these internal initiatives and the good news is, we’ve got plenty of opportunities, because we’ve got a lot of work to do on the supply chain and Honeywell Digital so I view all of that as not bad news, but really a tremendous opportunity to continue to drive margins.
Steve Tusa: And then one last one, I know you guys don’t want to give specific segment guidance but maybe can you just talk about who maybe above or below the averages when it comes to margin expansion for 2019, just so people are kind of calibrated, sometimes the segments can move around a little bit and people tend to kind of pick what they want to look at as positives or negatives, things that’s good to kind of baseline people don’t need exact numbers, but just some directional color around what will be above or below that kind of margin expansion or whether they’re all be kind of in the middle there? That’d be helpful.
Greg Lewis: Yes, I would expect Aero and HBT to probably lead the pack in terms of the rate of expansion in ’19 but each of the segments will have a very respectable margin expansion profile but clearly with the rate of growth that we’re seeing in Aero and leveraging the fixed costs that we have there, that’s probably got a pretty sizable opportunity and again HBT, with a return to growth and some new products, we see that is also having a fair amount of opportunity but each of the businesses, I think will expand margins in a meaningful way in ‘19.
Steve Tusa: Okay, great. Thanks a lot.
Darius Adamczyk: Thanks, Steve.
Operator: We can now take our next question Jeff Sprague from Vertical Research. Please go ahead.
Jeff Sprague: Thank you. Good morning, everyone.
Darius Adamczyk: Good morning, Jeff.
Greg Lewis: Good morning.
Jeff Sprague: Hi, good morning. Just a couple of things on maybe some of the longer cycle outlooks and the like first on Intelligrated, obviously, I have great visibility now on ‘19 on this backlog, but do you have visibility on things like front-log, bidding etcetera. do you expect it to be a fairly active order year again in 2019 for Intelligrated?
Darius Adamczyk: Yes, the short answer is absolutely, because not only, because of the continued strength of activity in North America, which is continues to be robust but now, the Transnorm and our enhanced capability in Europe both from the beachhead that we’ve established by acquiring Transnorm, but also because if you recall, we put a lot of investments back in the ‘17 and ‘18 timeframe for R&D capability, we have a metrics-based offering that’s complete now so we’re very capable bidding on warehouses, etcetera. so we continue to expect another very robust year in our Intelligrated business.
Jeff Sprague: And then I was also just wondering back to these mega-projects question in HPS, you noted your orders were strong, even without some of those kind of hitting the order book we think a lot of those projects kind of being underwritten that maybe $50 or $60 oil price so is it just do you think they’re just kind of a human reflex here that the volatility in Q4 cause people to just tap the pause button, or do you see some legitimate risks to these things kind of sliding out further.
Darius Adamczyk: Yes, I think it’s, just natural reaction, when you see that kind of volatility like we saw in Q4 that causes people to pause but we’re actually seeing a very positive movement here in Q1 so I think that some of those decisions will get made, and we feel confident that when they do get made we are going to have some positive outcomes for us and even and I was encouraged by our bookings in Q4, because despite not having booked some of those GNP jobs, we still had a very robust orders growth.
Jeff Sprague: Yes, alright great. Thank you very much.
Darius Adamczyk: Thank you.
Greg Lewis: Thanks, Jeff.
Operator: We can now take our next question from Scott Davis from Melius Research. Please go ahead.
Scott Davis: Hi, good morning guys.
Darius Adamczyk: Good morning, Scott.
Greg Lewis: Hi, morning, Scott.
Scott Davis: Hi, so much of the future story of Honeywell seems to relate software in some way, shape or form and I am little intrigued by HCE in general. Can you help us understand how centralized is the software development effort and whenever I hear about centralized software development, I always think about makes me want to cry, but or worse but how do you, how do you still stay close to the customer and the businesses themselves and still have this type of a centralized effort and ensure that you’re actually getting return on the investment?
Darius Adamczyk: Yes. So maybe let me just maybe explain that when we say centralized, that mean sort of the platform, the IT stack that we call Sentience that’s what centralized, that all of our connected enterprises use but then the actual analytics to solutions that are provided, those are very much vertically oriented and the way we approach this is essentially each of those businesses, end customer-focused business, so whether it’s connected aircraft, connected plant, connected buildings, we developed and the MV0, MV1 which was called single pane of glass, which has a lot of value drivers solutions for end customers and we typically partner with a few key anchor customers to help us iterate and drive an optimize the solution so we’re very close to the end customers as a matter of fact, we develop a lot of these solutions with the end customers but we also don’t want to drive customization, but rather standardization so don’t think about this as something that’s sits in corporate a kind of a central level is insular and doesn’t work with end customers, that’s not the case what we want to do is have end customer intimacy, while driving leverage to the IT stack called Sentience that’s really the core of the spread.
Greg Lewis: And maybe if I could just add to that with the leadership from Que, she is applying that customer go-to-market approach across all of those connected enterprises, such that, each one of them individually isn’t having to develop those muscles and skill sets independent and while these businesses are still embedded inside of the for four SPGs those four SPG Presidents wouldn’t possibly be able to give it the amount of time and attention. That Que will be able to do as the President of HCE so centralized really means focus much more so than corporate.
Darius Adamczyk: Yes, that’s a very good point, because what the gist was yes, the way this was organized before it still has sort of core reporting into the SPG Presidents in Que but we gave just a lot more authority and control to Que just because when you’re running a $10 billion or $12 billion business, and you have something that’s a fraction of that, it requires a lot of time, attention strategy changes, agility, it’s tough to manage that.
Scott Davis: Right. No, that makes sense and that’s helpful and you guys have done a nice job so it’s not – it just requires, I think a little bit of explanation, but just a follow-on question really just on Intelligrated and some of the assets you’ve bought around it, are you close to being at the point where you can go-to-market together with some of these products globally, and how long will it take? I mean, just particularly given how regionalized, some of the warehouse offerings are?
Darius Adamczyk: Yes, the short answer Scott is now, we are ready as a matter of fact, we are quoting globally and as excited as we are about the North American market, we anticipate being securing some jobs both in Asia this year as well as Europe and we’re ready, we’ve invested from an R&D perspective the Transnorm acquisition is going to further help, but you should expect us to get some more momentum here on a global level in 2019 and a lot of those solutions are finished.
Scott Davis: Okay, good luck. Thanks, guys.
Darius Adamczyk: Thanks, Scott.
Greg Lewis: Thanks, Scott.
Operator: We now take our next question from Andrew Obin from Bank of America/Merrill Lynch. Please go ahead.
Andrew Obin: Hi, guys. Good morning.
Darius Adamczyk: Good morning, Andrew.
Greg Lewis: Good morning.
Andrew Obin: Just a question on defense, just because it was so strong can you give us more visibility into how sustainable some of the developments that you had in 4Q and into the first half I would imagine F-35 ramp is sustainable, you mentioned Space and Defense, I think you mentioned aftermarket, if you could just walk us through a visibility for the next six months?. Thank you.
Greg Lewis: Well, I would tell you, so as you mentioned, our Defense business has been growing mid-teens all four quarters of 2018, and as we look out for the next six months, the backlog growth there is also very strong it’s strong double digits over 20% in Defense and Space so for the next 6 months, as you mentioned, I think, our visibility is very good to continued strength in that area.
Andrew Obin: And just maybe on China, could you just describe more color on specific markets and just your top down view on China’s economy? And how do you think it will progress through the year just because you have such a big business there and you’ve been very knowledgeable?
Darius Adamczyk: Yes, it’s been as I mentioned, it’s our China business has been up nearly double-digit just shy of that for the year so another solid growth here, a bit of a slowing in, I would say in Q4, but there are some very clear reasons, and we understood that slowing so that we kind of take it segment by segment if we think about SPS, it was terrific it was up double-digit growth in China, no slowing, actually if anything, things are accelerating in PMT, we had some tough comps, we understood that and expected that we had some big, both orders and revenue growth so we expected that nothing unusual.
Greg Lewis: Yes, we’ve doubled the business in UOP in the last 2 years so the comps are not small.
Darius Adamczyk: Yes, exactly. So nothing out of the world of expectation for HBT, as you know, we’ve had some challenges with the air and water segment and frankly some of our distributor partners got a little bit ahead of themselves, given the robust growth that we saw in 2017 and that’s been a bit of a challenge for us all year but we expect that to grow again in 2019 so we think that’s going to be behind us and then with Aero, we had some take collections challenges, which actually limited our shipments, because our backlog was actually better than the revenues would indicate so all in all, we’re not building in a tremendous year in China, not kind of the usual Honeywell strong double-digit growth in China, where we think it’s going to a little bit slow but all of that is reflected in our guide, and we expect to grow in China in 2019 for certain how much that’s going to be? Well, we will see all-in-all, I feel pretty good about how the businesses are positioned.
Andrew Obin: And do you guys have a view on the Chinese economy bottoms in ‘19?
Darius Adamczyk: Well, I think that’s a $1 million, it’s a bit of $1 million question Andrew, I think a lot of that depends, and we might know better answer in next 30 days, right? I mean, I think we’re watching carefully what happens on the geopolitical sphere, and with the broader economy because as I said, we’re very prepared from a tariff perspective, because that’s something we can identify and should be able to do something about what we don’t know and where we have some questions, which is whether it’s going to be the overall economic impact both on the economies of China, the U.S. etcetera. that’s I think, at this juncture, it’s worth being a month into the year that’s tough to call, and we’ll see what happens.
Andrew Obin: Terrific. Appreciate it. Thanks so much.
Darius Adamczyk: Thanks, Andrew.
Greg Lewis: Thank you.
Operator: Next question comes from Joe Ritchie from Goldman Sachs. Please go ahead.
Joe Ritchie: Thanks. Good morning, guys and thanks for truly fitting me in.
Greg Lewis: Welcome.
Joe Ritchie: Thanks. Lot of impact so obviously, look, you guys got a lot accomplished in 2018 congratulations.
Darius Adamczyk: Thank you.
Joe Ritchie: I think one of the areas that we haven’t really focused a lot on is that specialty products business and so maybe just a broader strategic question there I think that business is tied to semis, electronics how do you think about that business longer term? You got you did a lot in 2018 this business seems to be a little bit more cyclical versus the rest of your portfolio so maybe some thoughts around that, that to start would be great.
Darius Adamczyk: Yes, I mean, yes, there is some cyclicality, there is also some stability I mean, we have our Spectra business there, which is doing quite well, our Aclar business, which is acyclical, our Electronic Materials business, which is more cyclical, so it’s a bit of a mixed bag. Probably we’re given some of the challenges in the Electronics segment probably on the lower end of the curve than we are, but I think like anything, I mean we’re we like a lot of those businesses, they perform for us, but as always, we’re and as we pointed out during our speaker notes today, we’re always assessing everything I think some of the big things, that we wanted to do that we didn’t think that fit our portfolio within 2018 but everything is always under assessment, we’ve never done, and we always want to kind of add and also subtract potentially so I don’t there is no specific update to the to the SP business, but like I said, we’re always assessing and we’re going to do what’s we’ll make adjustments as they fit our portfolio.
Joe Ritchie: Yes, that’s fair. Darius is it fair to think of that business though as being mostly semi-CapEx-oriented?
Darius Adamczyk: It’s a mixed bag. I mean, there is really a variety of different businesses, and that’s why it’s kind of tough to talk about, sort of any given one trend, because you have electronic materials, you have some Defense spend, and you have healthcare in there, you have consumer goods so, I mean you have a entire variety of end markets that there’s exposure in speciality products so it’s tough to say what that total blend ends up to but yes, there’s sort of eclectic mix of various end markets.
Joe Ritchie: Okay. Yes, fair enough. And just one quick one Greg, you mentioned the stranded costs earlier, I think the number I had was like roughly around like $340, $350 million.
Greg Lewis: That’s right yes.
Joe Ritchie: So, the timing of those costs, I mean, does it, what’s remaining into in 2019 first, can you quantify what’s left in 2019? Secondly, what we get through those costs through the first half of the year, are they going to be kind of linear as the year progresses?
Greg Lewis: Yes. So we have taken actions that we will have eliminated about half of those costs already as we exited 2018 and as you saw in the fourth quarter with the corporate number of being flat to slightly up, that reflects the first quarter of not having the ability to allocate about $45 million or $50 million to those two spin businesses that are now gone so that’s a little bit of why you saw maybe a heavier number than you might have expected but we expect that to come down over the course of the year from the first to the fourth quarter, and we will exit the fourth quarter at a run rate by which all of those costs will be gone so that’s you should expect to see a bit of a stair-step down and again, keep in mind, that two-thirds is in our net corporate costs, about a third of that was sitting in HPT, so you’re not going to see a $300 million number per se but it’s reflective of a step down as we go through the year.
Joe Ritchie: Got it. Helpful, guys. Thank you.
Greg Lewis: Thanks, Joe.
Darius Adamczyk: Thank you.
Operator: Next question comes from Christopher Glynn from Oppenheimer. Please go ahead.
Christopher Glynn: Hi, thanks. Also a sincere thanks for squeezing me. I certainly don’t expect to go before Steve, but possibly before Joe next time anyways, question on non-res, a lot of mixed messages, people talking about low single digits but yes, they appeared talked about very robust commercial projects so just wondering what you’re seeing in that space, is that a very a vibrant market or is it just kind of GDP limp?
Darius Adamczyk: Okay. I mean, if you look at our HPS business, which is probably the best indication of kind of the commercial activity up double-digit bookings in Q4, so actually very, very strong that’s good we also want to make sure we captured a service, that’s the opportunity that business is stabilizing I think Vimal and the team have put the business on the right path, we’re seeing good signs and sort of the secret to the growth there is revitalization of the NPD pipeline and I see a lot of good things in the various segments, whether it’s building products, whether it’s fire, whether it’s our BMS systems so we actually expect a pretty good year and if you take HPS as a leading indicator, that’s also been a pretty good sign in Q4 so we’re little bit cautious in the outlook, but given the stability that we have now, and it should be a nice story for us recovery story first in 2019.
Christopher Glynn: Thank you.
Operator: And I would now like to turn the call back to Darius.
Darius Adamczyk: Thank you. Our end markets continue to be strong, and we’ve got simpler, more focused portfolio, following completion of the spins. We continue to execute well, as evidence by our sales, margin and cash performance, and we have a significant balance sheet capacity to deploy. We have a strong performance culture. Our say will continue equal our do. And we are focused on continuing to outperform for our customers, our shareowners, and our employees. I continue to be encouraged by what I see in each of our businesses and our people. I’m excited for what I know will be a strong 2019. Thank you for listening.
Operator: That concludes today’s conference. Thank you for your participation, ladies and gentlemen. You may now disconnect.